Operator: Greetings, and welcome to the National Storage Affiliates Fourth Quarter 2020 Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation.  As a reminder, this conference is being recorded. It is now pleasure to introduce you to your host, George Hoglund, Vice President of Investor Relations for National Storage Affiliates. Thank you. Mr. Hoglund, you may begin.
George Hoglund: We'd like to thank you for joining us today for the fourth quarter 2020 earnings conference call of National Storage Affiliates Trust. Since this is our first earnings call of the Biden Presidency, I'd like to quote our new president and say to all of the potential investors that haven't yet purchased NSA stock, come on man. In addition to the press release distributed yesterday, we filed an 8-K with the SEC containing our supplemental package with additional detail on our results, which may be found in the Investor Relations section on our website at nationalstorageaffiliates.com. On today's call, management's prepared remarks and the answers to your questions may contain forward-looking statements that are subject to risks and uncertainties, including uncertainty related to the scope, severity and duration of the COVID-19 pandemic and the actions taken to contain or mitigate the direct and indirect economic impact. The Company cautions that actual results may differ materially from those projected in any forward-looking statement. For additional detail concerning our forward-looking statements, please refer to our public filings with the SEC. We also encourage listeners to review the definitions and reconciliations of non-GAAP financial measures, such as FFO, core FFO, and net operating income contained in the supplemental information package available in the Investor Relations section on our website and in our SEC filings. On the line with me here today are NSA's CEO, Tamara Fischer; COO, Dave Kramer; and CFO, Brandon Togashi. Following prepared remarks, management will accept questions from registered financial analysts. I will now turn the call over to Tammy.
Tamara Fischer: Thanks, George, and thank you, everyone, for joining our call today. Before we discuss 2020 results and our outlook for 2021, I wanted to acknowledge all those who have been affected by recent severe weather and related events. We are and will continue doing our best to support our team members and communities as they recover from these difficult challenges Now moving on to results, we ended 2020 with a bang, delivering strong same store NOI growth, closing our busiest quarter ever in terms of wholly-owned acquisition volume. And to top it off, we announced in December, the addition of a significant New PRO, Blue Sky self storage. Occupancy is near record high, street rates are up year-over-year and growing. And our revenue management strategies are largely back to normal. The positive momentum and fundamentals is making for a strong start to 2021. And Brandon will elaborate further on that later in the call.
Brandon Togashi: Thank you, Tammy. Yesterday afternoon, we reported core FFO per share of $0.46 for the fourth quarter of 2020. This represents an increase of 15% over the prior year period. Fourth quarter same store NOI increased by 6.1% over prior year, driven by 4.8% revenue growth and a 1.6% increase in property operating expenses. Same store occupancy averaged 92.1% during the fourth quarter, an increase of 400 basis points compared to 2019. For the full year, core FFO per share was $1.71 and 11% increase over 2019, primarily driven by the integration of prior acquisitions, additional strong acquisition volume during the year in same store growth. We also realize three pennies  of accretion in 2020 from the internalization of SecurCare, in line with expectations. Full year same store NOI grew 2.2%, driven by 1.7% revenue growth and a 0.5% growth and OpEx. Both same store NOI and core FFO per share results were ahead of the top end of our reinstated guidance, largely due to occupancy remaining higher than expected, and property taxes coming in lower than forecasted. Same store OpEx growth benefited from diligent cost control, as we've discussed in recent quarters. Specifically in the fourth quarter. Personnel costs declined 80 basis points year-over-year, while utilities declined 5.3%, due to a milder start to the winter, as well as the benefits from our LED lighting initiative.
Operator:  Our first question today comes from Samir Khanal of Evercore. Please proceed with your question.
Samir Khanal: Hey. Good morning, everyone. Tammy, can you walk us through the cadence of revenue growth over the next few quarters. Just trying to get a better understanding of how much of a deceleration you're baking in, in the third quarter or the second half of the year as things start to normalize?
Brandon Togashi: Hey, Samir, its Brandon, I'll take that one. I mean, we historically have not given quarterly guidance, not doing so here now. But certainly the first half, as I mentioned in opening remarks is going to be very strong. Q3, you start to get a little more challenging, but you know, we were still emerging from some of the restrictions in place, in terms of processing rate increases and certain fees being charged. So q3 I think still has - the first part of it has an element of easy as well. And then Q4 is the really tough comp, right? And so what I will tell you is the back half of ‘21, we still expect to be positive. But very modestly in the first half, you know, we expect to be quite strong.
Samir Khanal: Got it. And then I guess, switching over to the expenses. And Brandon, can you provide a little bit more color on kind of the breakdown of maybe your property operating expense lines, maybe, property taxes, payroll, what are you assuming for guidance this year?
Brandon Togashi: Yeah. Sure, Samir. So I would say for property taxes, specifically, that's the one line item that our assumption for growth is 5% to 6%. And that's outside of the 3.5% to 5%, total OpEx range we gave. All the other categories you know, personnel is the next biggest, but everything else down the line from R&M, utilities, marketing, each of those categories is within that 3.5% to 5% range. So property taxes is the primary one that I would say falls outside on the high end.
Samir Khanal: Got it. And my last question here is, you know, given the weather disruption we've seen in Texas, right recently, I mean, are there any early reads into the impact of rental demand? I mean, I guess for you, it'll be primarily the Dallas market that just wanted to ask, in case, there's any kind of early reads?
Dave Kramer: Yeah. This is Dave. Good question. You know, fortunately, the weather is starting to clear and now everybody's assessing the damage. And we had very minimal damage from our properties. And, from our perspective, a couple of frozen water pipes and stuff, so fortunate there. It really just paused, you know, all the rental and move-out activity for four or five days. And so as we look at it, it'll probably an uptick in demand is things on par  and people need some storage to move stuff around and make some repairs. And so it didn't really have an impact to us at - you know, the immediate time and we think long term and short term, it has some positive effect for us.
Tamara Fischer: Yes, we do think in the first quarter, we'll probably see slightly elevated snow removal costs, and maybe a little bit higher O&M  then we might have otherwise expected, especially since we're off to such a late winter, we actually don't plan for snow removal in Texas.
Samir Khanal: Right. No, that's it for me. Thanks so much.
Dave Kramer: Thank you.
Operator: The next question is from Neil Malkin of Capital One Securities. Please proceed with your question.
Neil Malkin: Hey. Good morning, everyone. Fantastic quarter. First question - yeah, sure. First question is on acquisition. You know, can you just kind of talk about what you're seeing out there on the I guess, on balance sheet or consolidated side, in terms of the mix. And kind of what, you know, kind of cap rates look like, for the transactions from the fourth quarter? And what are they kind of looking like right now? That'd be great.
Tamara Fischer: Sure, I'll start and Dave might want to take on to some of my comments. But really, what we saw was a combination of small and mid sized portfolios. And so big part of what we did in the fourth quarter, frankly, was one portfolio. And yet, we were super busy on the one-off transaction side of things. And a lot of it happened before the end of December, I think we saw sellers who are a little anxious about upcoming potential changes to tax regulations, potential tax reform. And cap rates, I would tell you are in the 5.5 to 6 range, portfolio premiums still exist. And you might call them in the 50 to 75 basis point range. For us in the markets, where we'd like to acquire assets was still a little bit of cap rate compression, but it's not - not over the top at this point in time. And the activity continued into 2021. We continue to be very busy looking at transactions. We were - we also look at, as you know, we look at almost every portfolio that hits the market, but we just keep on with our blocking and tackling and taking these properties down one asset at a time to the extent that's what we need to do. And the nice thing about our structure is frankly, is our multiple PROs, all represent acquisition teams for us around the country, and they're all very busy. It's really not singled out to one team or another or one geographic location or another. Anything to add to that Dave?
Dave Kramer: No, I agree, I think particularly the geographic area, we saw properties in all of our markets and you know, across the country and that was pleasing to see in a really good pace of activity. So I would end.
Neil Malkin: Okay. Kind of a add on to that. Several companies across real estate asset types have talked about - have really, you know, put their foot forward in terms of either JVs or alternative, you know, structures to augment growth in an aggressive cap rate environment. And just kind of wondering, if you are thinking about that, maybe talk to the Board about other things could be, you know, different parts of the capital stack investing in. Also your stock price is obviously very strong. I was just wondering is that, you know, dictates where you allocate your capital, or what you focus on, maybe even third-party management. So, you know, if you could just kind of give us an outline for how you look at all those things this year, that would be great.
Tamara Fischer: Sure. So, you know, we have historically been successful in closing larger portfolio transactions with joint venture capital. And we have great relationships with our joint venture partners, and we'd like to continue to deploy capital with them. Where we also see it as a very valuable component of our capital stack and I – our open to and frankly, almost are always  in conversations with one potential JV partner or another, so that we will be well-positioned to take advantage of opportunities as they present themselves. So we do see that capitals as being an important part of our structure.
Neil Malkin: Okay. Thank you.
Operator: The next question - the next question comes from Juan Sanabria of BMO Capital Markets. Please proceed with your question.
Juan Sanabria: Hi, good morning. Just hoping you could delve a little bit deeper into Blue Sky the new PRO? And what do you think that relationship brings to you? And are you assuming any incremental acquisitions beyond the small bit that came with the initial signup, in terms of your $400 million to $650 million of acquisition guidance for the year?
Tamara Fischer: Sure, so I'll start with a key benefit of adding Blue Sky as a PRO. The underlying entities, you know, behind Blue Sky are grow your storage development, and that entity is led by Lee Frederick, and Lee has a long history of developing high-quality self storage assets. In fact, we've been a buyer of some of his assets over the years. Two years ago, Mike Perry, our former VP of acquisitions joined Lee to broaden their platform and to become their acquisitions person. And they've been quite successful at it. They also partnered with Ben Vestal, who is a large third-party manager, and frankly, a broker. And so what we think they bring to the table is the ability to access some, let's just say call it about 30, 35 assets, that they actually have a controlling ownership interest in, that will be contributed to NSA over time, probably the next call it three to five years, I might think about a cadence of $50 million a year there about. And, from somebody like Ben Vestal, we have an opportunity to look at the 150 plus stores that are managed by his platform. When an owner makes a decision to sell, I think, you know, hopefully, we have an opportunity maybe ahead of others to have a chance to acquire some of those assets. So - and then just to speak about Mike Perry for a minute. He's been in the business a long time. He's very highly regarded. His deep relationships in the industry, and I think just bringing that whole team onto our team as an affiliate is - will be hugely valuable for our company.
Juan Sanabria: Great, thank you. And then maybe I was just hoping you could speak to any insights you've gained from your exposure, which is pretty diverse. You have some significant weightings  in California which may be seen some outflow of people, may be more concentrated in the Bay Area that where you are a bit and some big exposures in Texas, which has seen net move-ins apparently from what you can gather from the media and news stories. But curious on what you're seeing in terms of demand and or move-outs, keeping your geographic diversity?
Dave Kramer: That's a good question, Juan. This is Dave. Across our portfolio, we've seen positive fundamentals, I mean rental activities remain strong and move-out to be muted. You know, if you talk about the California market, you know, Brandon mentioned  Riverside-San Bernardino had really, really strong results. And you know that - part of that is from, you know, the implement bounce back. But we also think it's the migration out of maybe to the bigger cities into maybe not out of California, but in some of these more suburban markets for California. But as you look at Texas, we've certainly benefited from the outflow of some of these other markets, through the whole Sunbelt area, down through the southeast and into Texas. But we haven't really seen a significant shift in any of our communities or any of our MSAs, as far as patterns, everything has remained very good, very strong, and we're very positive about it.
Juan Sanabria: Great, thank you very much.
Dave Kramer: Thank you.
Operator: The next question is from Todd Thomas of KeyBanc Capital Markets. Please proceed with your question.
Todd Thomas: Hi, thanks. Tammy, first question, in your prepared remarks, you said revenue management strategies are largely back to normal. I was just curious, what's still has to normalize in your view, as you look ahead, further into the recovery?
Tamara Fischer: I'll start and then let Dave tag on to it. What I would say is that, we are evaluating rent increases where our existing customers on a state-by-state, local municipality, and trying to, you know, live within the guidelines. And you know, there are some states where price gouging is prohibited. And for the most part, I would say that we are back on track with rent increases on existing tenants and the same cadence we've had historically. But we are keeping an eye on things to be sure that we – so that we don't go out of bounds.
Dave Kramer: Yeah. I would agree. Todd, the only thing I would add, you know, speaking of California, we expect the restrictions will lift here shortly, they haven't. Apparently, an expiration date here in the next few weeks, you know, we're mindful of that, and we're just making sure we're following all the guidelines for the - like a state of California, or maybe a couple cities within California to have even tighter restrictions. But the damage point, for the most part, we've been able to resume, what we would normally be doing in our revenue management platform, pretty much across most of our communities.
Tamara Fischer: And the nice thing, but again, about our structure, that's not to beat a dead horse. But by having our PROs located geographically across the country, they are as close as you can - to local rules and regulations and executive orders. And so I think that does give us an advantage to be able to stay close to what's going on and what the timing is for relief. And or if, you know, various governors are thinking about other kinds of restrictions. So I think that gives us an advantage in terms of visibility.
Todd Thomas: Okay, that's helpful. And then, you talked about gaining additional occupancy through January. And so, we're a couple months now, you know, a little less actually, I guess, from the start of the peak leasing season. Maybe outside of California, or some of these jurisdictions where there are price gouging rules still in effect, or, you know, price increase limitations that are in effect. Do you have the ability to lean into the strength with, you know, sort of higher rate increases to more customers, elsewhere across the portfolio?
Dave Kramer: It's a good question. And yes, to answer your question, we certainly have seen improvements in street rates. We expect street rates to improve through first half of the year, which will obviously hit what used to be the peak leasing season. Obviously, we're record high occupancy right now. So, you know, we have the ability to push probably a little harder on in place rent changes, and we are, and we'll look, you know, across the portfolio, and look for those seasonal trends as we see them. But yeah, we like to run away, we like what's in front of us, and we're in – would do our best to make sure we maximize where we can.
Todd Thomas: Okay. And then I just wanted to also follow up, I guess, on Tammy, your comments around, work from home and some other trends, that you discussed that, you know, maybe the pandemic accelerated, you characterized it as the three SSS's. And then sort of thinking about investments, how you think about allocating capital going forward, how does that affect your views around future investments and the company's - thinking about the company's geographic footprint. So, you know, as you think about the PRO acquisition teams that are out there, looking to source deals, do you do anticipate, any changes at all, at the margin to, you know, how the company's - you know, looks going forward in terms of some of the market exposures that we see today?
Tamara Fischer: So, Todd, that's a good question. I think as you know, we've long been committed to secondary, primarily the secondary and tertiary markets. And that has served us well, over time. And I think we remain committed to those markets. And that's not to say that we won't look at top 15 MSAs, we will of course, and we're really open to growing in markets, where our PROs currently operate, are continuing to gain scale in those markets. And so I guess, on the whole, I would say, that's not a huge change to our strategy. But if anything, I think we're maybe even more committed to the secondary and tertiary markets, and we have been historically, it has served as well.
Todd Thomas: Okay. If we, if we look at, you know, California and Oregon, where you have relatively large concentrations, how should we - do you expect, over time to reduce your exposure to those states, maybe, by through acquiring assets elsewhere? Or do you think that you'll continue to maintain that that level of exposure to those markets?
Tamara Fischer: I think over time, as we grow, just naturally, those markets will become probably a less significant component of our total. But the truth is, we like Oregon, we like Oregon long term. We may see some good opportunities up there to acquire assets over time. And our PRO up there is actively looking at deals, as they become available. In California, it's the same thing. I mean, it's a huge state. It's a huge economy. And it may always be huge to us to flee. But I would say – we wouldn't turn away from California, I would also say that we're probably not on a one-off thesis seeking to, you know, necessarily, strategically increase our position there. Texas is big for us. But Texas is a huge state, and it's huge to self storage, and will probably remain big to us as Florida. So I think we're big in states where self storage is heavily relied upon by the population. And in states where we are seeing a benefit of significant in-migration, such as, as I mentioned, Texas and Florida. So we haven't - I think Dave addressed this earlier, we haven't necessarily seen the impact of out-migration from California. At this point in time, we're heavily concentrated in Riverside-San Bernardino. We like the Inland Empire. And the Inland Empire, frankly, has seen its own in-migration. So I think when it's all said and done, probably not huge changes to our strategy.
Todd Thomas: Okay, thank you.
Dave Kramer: Thank you.
Operator: The next question is from Smedes Rose of Citi. Please proceed with your question.
Smedes Rose: Hi, thanks. I wanted to follow up to some of your questions - your comments about supply that you thought in ‘21 would be similar to 2020? And just what sort of percent change is that in the supply? And what kind of gives you confidence, I guess that you think that it'll sort of trail down the pace of growth thereafter?
Tamara Fischer: So the comments that we make about supply are informed by Yardie  and, you know, we follow as they do, the data that they provide, and we find it to be quite reliable. But our perspective is refined by our PROs local knowledge in those markets. And so what I think we can say, is that we're seeing the same, probably the same stuff everybody is seeing across the industry. What we're seeing is that projects – some projects have been just abandoned, as some of the new developments, literally miss pro forma by years, and lenders backed away from funding those projects. And, and yes, there were projects that were also delayed for a variety of reasons, labor restrictions on working - inability to get products. And so those deliveries will come to market in 2021. So we actually think that deliveries in our key markets will probably not be that much less than they were in 2021, than they were in 2020. On the whole, I think across the United States, there will be a, somewhat of a decline in 2021, in delivery of new products. And I'm not sure that we have any greater insight than most people who are reading the data and talking with experts in the field, except for the fact that - and I keep circling back to this, but I do think our relationships with our PROs and their knowledge of our markets, it gives us a slightly better perspective on what's coming.
Smedes Rose: Great. Okay, good. And then you you've mentioned on a couple of calls now that one of the things that might be driving more sellers coming to market, even though there's hasn't been that much of a change in pricing, and it's expected changes in tax structures. And I just wondering, is that, I mean, is that primarily around concerns around capital gains, or is it the state taxes? And I guess, sort of as a follow on, would you expect any changes in behavior from your PROs, as they consider potential changes to the current tax structure? You know, maybe in terms of out of helm  like cashing out sooner or bringing properties to market to your finger or anything along those lines?
Tamara Fischer: So starting with the sellers, so the mom and pop sellers, I think that there isn't as much of hype around the potential changes in tax law, even though from my perspective, it seems like there should be because it almost seems invulnerable  But we are still seeing increased activity, and on the part of potential mom and pop sellers. And in part, at least what we are hearing anecdotally is that's part of what's driving it. As it relates to our PROs, I don't think that we’ll see any change in behavior on the part of our PROs. At least right now, I don't think we see a risk to the ability to defer taxes on the contribution of assets to the REIT . And so I think they will continue to make those assets available to us to acquire upon stabilization, or, you know, when if there happened to be managing the asset, when the third-party or when the - I'm sorry, when the property owner is ready to sell the asset. So, while we are seeing increased activity, I don't know if it's as driven as it was at the end of the year by fear over changes in tax rules and regulation.
Smedes Rose: Okay, thank you. Thanks, appreciate it.
Operator: The next question is from Ronald Kamdem of Morgan Stanley. Please proceed with your question.
Ronald Kamdem: Hey, two quick ones for me. Congrats on a great quarter. Just number one, following up on the discussion with the PROs. After looking at sort of the 2020 performance, and sort of looking forward about maybe filling out whatever other markets you're interested in, what's the outlook for sort of the conversations with the PROs? Is this may them more likely, less likely to be interested in joining the platform? Just curious how you guys are thinking about that going forward?
Tamara Fischer: So I think we have room to add another - I'm going to say one to three PROs. And opportunistically around the country, if you look at the math in our in our desk, you know, we've had that there for quite some time now. And so we still have geographic areas where we would like to add an operator. Our conversations with operators are they're steady, I wouldn't say the cadence has changed much, as we've talked about so many times, the predicting the timing is almost impossible. It is possible that some of the large private operators will take some of these potential tax changes into consideration. And that conversations might accelerate this year, but we don't have any line of sight on that at the moment. We're open to bringing on a couple more PROs. And we have room for a couple more PROs. And so you know, the right operator in the right place, who would be a good fit, I you know, sure, like to be able to do that, you know, this year, sometime in the next 12 to 18 months.
Ronald Kamdem: Great. My second question is just going to be, just revisiting this topic of other income that always comes up, whether it's you know, tenant insurance or third-party management. Just sort of curious, if thoughts, any updated thoughts or the company's views changed on that? Just given, the occupancy, the performance is that sort of an opportunity that maybe looks a little bit more interesting than in the past? Or what's the updated thoughts there? Thanks.
Brandon Togashi: Hey, Ronald, it's Brandon. Let me give you a few thoughts and then see if it fits on the question or not. So, you know, everything you rattled off, obviously, is the ancillary part of the business. Things like tenant insurance and retail sales, most recently, given the velocity in rentals has been a positive year-over-year. Fees, as you know, has been the case, I think, for us, as well as others in the sector. We're challenged throughout all of 2020. And even in Q4, even though we spoke very positively about everything we experienced fees were still down for us, roughly 10%. Some of that was, you know, Oregon was the last of our major geographies where we were restricted to start the quarter. And so we were still emerging from that. And then you also had just being, you know, working with our customers, and perhaps being lenient in some cases on an assessment of some of those charges. So, you know, there remains a key part of the business on an ancillary basis. And, you know, it will contribute to growth. But let me pause here and just see if there was more to the question.
Ronald Kamdem: No, I think that makes a ton of sense. Actually, one more, if I may, not to beat the acquisitions questions to debt  But can you just comment on who do you guys competing against now in the markets, right? Obviously, private equities come into the space pretty heavily? Is it still sort of mom and pops, is it private equity? Just curious, what's the competition like for acquisitions now? Thanks.
Tamara Fischer: To our peers who are you know, across the board, are pretty active, and acquisitive, and so we think about them as being competitors. And we're looking at acquisitions, but certainly Blackstone and other private equity firms are active. And it's very competitive, the silver lining of self storage performance, that it's attracted a lot of attention. And everyone wants to jump in the business and deploy capital here. So it's okay, I think we - our idea is to remain disciplined and execute on our strategy. I think, again, having our PROs out there looking at deals for us, we have a strong corporate acquisitions team that I believe that gives us a slight advantage. And we will - I think, we’ continue to be successful in executing on our strategy. We set a target of $400 million to $650 million invested this year. We hope to be able to do that with our PROs and if something bigger comes along, hopefully with a JV partner, either an existing one or a new one. And I'm very optimistic about our ability to deploy that capital this year, without losing sight of the importance of remaining disciplined.
Ronald Kamdem: Perfect, many thanks.
Tamara Fischer: Of course. 
Dave Kramer: Thank you.
Operator: The next question is from Ki Bin Kim of Truist Securities. Please proceed with your question.
Ki Bin Kim: Thanks. Good afternoon. So obviously great to see all those strong demand across most of your markets. And we're all the time understand how to balance the very near term strong growth versus eventual kind of mean reversion. So I wanted to go back to your comments regarding the three SSS's, sunbelt, suburb and secondary markets. Do you think there's something to say about these markets, perhaps having more resiliency to mean reversion versus some of the more urban, that migration out market that similarly we saw strong demand in the near term?
Tamara Fischer: I think you might be onto something there. And I'll tell you why. I think that those secondary and tertiary markets were not nearly as severely affected in terms of the community shut down, small businesses shut down, and then they benefited from some in-migration. And, you know, Ki Bin, what we've talked about in the past, as those markets do not perform as well in really hot economies, really hot times, but they also do not suffer as much. And when there's an economic downturn or in you know, in this case, a health crisis, a potential pandemic. And so I think you hit the nail on the head there with your thought about the resilience of those markets.
Ki Bin Kim: Okay, great. And you guys changed your website a little bit this past quarter or two, the gostorage.com  website, you're not using any more, there isn't a encompassing umbrella website to just kind of search through some of your inventory. And now it's kind of all different store websites, I'm sorry not store the PRO websites. Did you lose any customers by that change do you think? And do you have any thought on creating a another umbrella website?
Dave Kramer: Good question. This is Dave. And Ki Bin, yes, we have - we do have another umbrella website that has launched. It's in its first phases. And we'll be working through over the next couple quarters really building out to be a more robust product than what we had on the first version of go storage units. I don't feel we've lost any business, with the evolution of our CMS and the tools that the PROs have deployed, we really felt that the strength in those particular brands and their local brands was well beyond what we were getting out of the go storage units platform. And so we rolled out nsabrands.com. And we've got the front facing pages that launched and what we building on that as we go in the next quarters with more to come and I think we're done, you'll be very pleased with what you see.
Ki Bin Kim: Okay, thank you. And just to follow up on a previous question on cap rate, on acquisitions. For the $525 million that’s in guidance for 2021, is it safe to assume is this kind of same 5.5% to 6% stabilized cap rate?
Dave Kramer: Yeah, that's correct, Ki Bin.
Ki Bin Kim: Okay, that's it. Thank you.
Tamara Fischer: Thank you.
Operator: The next question is from Jason Belcher of Wells Fargo. Please proceed with your question.
Jason Belcher: Yeah, hi. Just wondering if you can give us a little more color on the stronger than expected customer demand you're seeing, maybe touch on where your average length of stay is currently, and how that's trended over the last year or two?
Dave Kramer: Yeah, great question. This is Dave. Our average length of stay continues to increase, which we're happy about. It's above, you know, about 16.5 months right now, if you look at it as a whole, and it continues to trend in the right direction. And you know, from the demand patterns, it's all over the board, all of our communities. We're seeing what Tammy referenced in her opening comments, there are multiple factors and a lot of things going on out there. And we're seeing strength across all of our diverse portfolio. You know, obviously markets where we have competitive pressure, maybe not have performed as strong as the rest of our portfolio, but because of this additional demand, they are performing well. But obviously, sunbelt properties and the integration is a great story. And we've seen some strength there. But you know, just really across the board, we're pretty pleased everywhere.
Jason Belcher: Great, that's helpful. And then if I could drill down just a little bit more, on specifically the college student and business customer segments of your base. Any comments you can offer there, and maybe give us some rough idea of what percentage of revenue those two cohorts makeup?
Dave Kramer: It's a good question. We've talked a lot about college students and what's going on with college students. And it's really a mixed bag across all the universities, across the country. Some are still in, some are still out, some never came back. I think, as we looked at this spring, the college season pay may not be as peak is what we've normally seen historically, we do expect some movement there. We expect that come late March 1, April, probably in those ranges, as you listen to them colleges maybe moving kids around under the dormitories, but I don't expect it to be as strong as it normally is because not everything is back to where it used to be as far as headcount and who's in the dorms and who's not. Our business tenants, we think it's about 15% to 20% of our overall tenant base. It's hard to tell, of course, because when you rent a storage unit, not everybody talks about them being a business, there's a lot of our businesses, it runs, you know, to the individual operators name, so it's a tough metric to track. But we still think it's in that 15% to 20% range. And that's about normal, it hasn't really shifted one way or the other, that we've detected.
Jason Belcher: Great, that's helpful. Thanks. Thanks very much.
Operator:  Our next question is from Stephen Mead of Anchor Capital Advisors. Please proceed with your question.
Stephen Mead: Yeah, good morning. I was struck by the statistics and the comparisons in Oregon. And I was also in terms of the revenue management side of the equation. Can you just kind of explain a little bit more, sort of what was going on in terms of the you know, pretty big increase in occupancy and then relatively flat rental rates? And then I have a follow on question, as we get into 2021, and your guidance in terms of revenue guidance, what is sort of the trade-off in 2021, between occupancy and rental rates?
Dave Kramer: Both really good questions. So in Oregon, and it really stemmed around Portland, I think, is where you really saw that the biggest occupancy gains, and, our PRO up there did a wonderful job really trying to balance occupancy and rental velocities and demand. And they, you know, obviously deployed some really smart marketing tactics and revenue management tactics to really focus on getting the rental velocity they were looking for, and wanting to achieve. Obviously, Portland's been a very competitive market. So the pressure on rates will exist and continue to exist until it works its way through the – the supply that's come to the market. But the PRO, using all the tools they have available to them, I thought did a really wonderful job, working on things that were available and driving that occupancy percentage up? As we look at next year, or in this year, and really, two parts of this year, we have that same question, Where are we going to balance occupancy versus where we going to bounce rate? Right now, fundamentals are strong, we're pushing hard on rate on both ends, you know, current tenant and street rate. And we're balancing that rental velocity and that expected rental velocity and move out velocity compared to what we think we can get for driving new demand. And I think first half of the year looks really, really strong, the back half of the year, if we talk about maybe what normal might look like towards the back half of that year, maybe we'll see a seasonal pattern where we're asking ourselves how much chocolates do you want, how much do we want to spend to get it? And is it worth it? And that's all what we're modeling, our revenue management teams working on that. And I think we have a pretty good roadmap. And we just have to see when communities change and the environment changes.
Stephen Mead: And then one last question, just in terms of historically, in quote, higher inflation environments, versus lower inflation environments, is there any sort of connection to sort of the overall kind of macro picture in terms of inflation? And your sort of ability to push rents?
Dave Kramer: A good question. The nice part about our products were month-to-month leases. So we have a great deal of flexibility, we can react very quick, in most scenarios up and down for demand, looking at, you know, overall inflation, obviously balancing consumer spend with product cost and keeping as much as we can as far as demand. But, you know, historically, I would say flexibility gives us a really nice ability to really accelerate when we need to accelerate and maximize when we can. And inflation typically means rates go up. I mean, that's really what we've seen in the past.
Stephen Mead: Okay, thanks.
Operator: The next question is from Neil Malkin of Capital One Securities. Please proceed with your question.
Neil Malkin: Hey. Guys, appreciate you taking the follow up. Two quick ones. First, we haven't seen the strength in the single family, either ownership or rental, probably since the mid to early 2000s. How did that - I don't know, if you have like historical data or do you expect that to change the sort of demand profile, customer profile or seasonality of your portfolio? If we were to have, you know, like we continued to have a very robust single family market?
Dave Kramer: You know, it certainly creates demand, because transition  as people move across the country, and I agree, the single housing markets has been incredible, most of our markets. And so, typically, that's more in the summertime, you know, which is interesting as we come out a third and fourth quarter into the first. I mean, we're seeing this really strong housing demand right now. And so that's what's kind of got us all wondering a little bit about when is our peak leasing season and what will the summer look like. But I would say nearly it drives demand, we generally benefit from that. And I think as long as that housing market stays super hot in a lot of these markets, we're going to have some good results.
Neil Malkin: Okay. Other one for me is, a lot of lot of companies, a lot of reap – peers across multiple sectors really talking about, or at least in the shorter term lease sectors, talking about how you know, the operating technology and the operating platform as like the next chapter of institutionalization of the asset and sort of revenue management. I am wondering, what - how you get kind of fit in that, what you see is like the next chapter from an ops or tech standpoint? And then do you think that any implementation of that will be harder given that all your PROs can basically run their own rev-man  systems?
Dave Kramer: Well. I think, good question and good point. We're about a year into our own proprietary revenue management system. It's called store cast. It was a great year for us to really try as we worked through the new system and it really keep some controls on it. And certainly 2020 was a trying year from a rate perspective and a pricing perspective and really keeping controls on where the system didn't run wild on us and go too far, one way or the other. I'm really excited at this point in time of what we're doing with that tool. We have a couple major initiatives, right now one of them is really looking at discounting and upfront pricing and really maximizing customer acquisition. We've taken the data science, revenue management team. We really broke them into two different sectors. One, I'm setting that upfront dynamic pricing for new customers. And then the other ones are obviously studying life cycles, IPRC. And I think, if you look at, if this was a baseball game, I think we're in the middle innings. And I think we have runway left. And I think we have pricing models to tweak and enhance and get better. And in that, you know, you look from a customer acquisitions perspective, it saves costs on advertising, and we certainly maximize rate and discounts. And I think we have line of sight and how to improve there. And then on the backside, with the in place run changes, you can always tweak that model just a little bit as we go forward. So it's up there. And then you know, we've made some really good enhancements in CMS, our Content Management System website, if you want to call it that. And there is some really nice changes there. And as we look at online rental and how we improve that process, and how do we get more online rentals, and that process and that customer journey better, more efficient, that obviously leads to more efficiencies as we work our way through the customer acquisition process.
Neil Malkin: Thanks so much.
Dave Kramer: Thank you.
Operator: There are no additional questions at this time. I'd like to turn the call back to Tamara Fischer for closing remarks.
Tamara Fischer: Thank you. And I'd like to thank everyone again for your interest in NSA. We’re pleased with our fourth quarter and full year results and the fact that our sector and our unique PRO structure allow us to deliver such outstanding results. We're optimistic about 2021 and we look forward to meeting with many of you either virtually near term or maybe even in person later this year. Be safe, stay healthy. Thank you. Bye-bye.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.